Operator: Thank you for standing by. This is the conference Operator. Welcome to the Ero Copper First Quarter 2023 Financial and Operating Results Conference Call. As a reminder all participants are in listen-only mode and the conference is being recorded. After the presentation there will be an opportunity to ask questions. [Operator Instructions]. I would now like to turn the conference over to Courtney Lynn, Vice President, Corporate Development and Investor Relations for opening remarks. Please go ahead.
Courtney Lynn: Thank you, operator. Good morning and welcome to Ero Copper's First Quarter 2023 Earnings Call. Our operating and financial results were released yesterday afternoon and are available on our website as are our financial statements and MD&A for the three months ended March 31, 2023. On the call today are David Strang, Ero's Co-Founder and Chief Executive Officer; Makko DeFilippo, President and Chief Operating Officer; and Wayne Drier, Chief Financial Officer. We will be making forward-looking statements that involve risks and uncertainties from which actual results may differ materially. We would refer you to our most recent annual information form available on our website, SEDAR and EDGAR, for a discussion of the risk factors of our business and their potential impact on future performance. As a reminder, unless otherwise noted, all amounts are in U.S. dollars. I will now pass the call over to CEO, David Strang.
David Strang: Thank you, Courtney and thank you, everyone for joining us today. I'm pleased to report that we've had a strong start to 2023 at Ero. Despite ongoing global economic uncertainty, both copper and gold prices remained at favorable levels during the period, and we expect global policies aimed at reducing carbon emissions will continue to support copper prices for the foreseeable future. During the first quarter, favorable metal price dynamics combined with strong operating performance, including record quarterly gold production drove solid first quarter financial results, including adjusted EBITDA of $48.2 million and adjusted net income attributable to the owners of the company of $22.5 million or $0.24 per share on a diluted basis. As important, we continue to progress our strategic growth initiatives with the Tucuma project and our new external shaft at Caraiba, reaching approximately 30% and 20% physical completion, respectively, as of quarter end. We executed several important contracts for each project during the period bringing visibility and capital expenditures to approximately 90% at Tucuma and 70% on the shaft. Forecast total cost to completion for both projects remain within 5% of original project.  Before I turn the call to Makko to provide more detail on these projects, I will run through our first quarter operating performance and provide color on the expected cadence of production through the rest of 2023. At our Caraiba operations, we've produced 9,327 tons of copper and concentrate at C1 cash costs of $1.70 per pound of copper produced. Lower mined copper grades from the Pilar and Vermelhos mines driven by planned stope sequencing, resulted in lower processed copper grades and production compared to the fourth quarter of 2022. As expected, this resulted in first quarter C1 cash costs above the high end of our full year guidance range. While we resumed shipment through our domestic smelter during the quarter on a limited and prepaid basis. The associated reduction in concentrate sales costs was offset by a stronger foreign exchange rate. With respect to full year production cadence, we expected first quarter copper production to be the lowest of the year and anticipate full year copper production to be second half weighted due to higher anticipated mill throughput volumes during ramp-up and commissioning of the new Ball Mill during the fourth quarter. We are reaffirming our full year Caraiba Operation guidance of 44,000 to 47,000 tons of copper at C1 cash costs of between $1.40 and $1.60 per pound of copper produced. Turning to our Xavantina operations, we achieved record quarterly gold production of 12,443 ounces due to an increase in grade of over 16% quarter-on-quarter, and approximately 100% year-on-year. As a result, Xavantina C1 cash costs for the quarter were $436 per ounce of gold produced. Gold production at Xavantina is also expected to be second half weighted. We remain on track to commence production from the Matinha Vein later this year, which should contribute to higher mill throughput volumes during the second half of the year. We are reaffirming Xavantina's 2023 gold production guidance of 50,000 to 53,000 ounces and C1 cash costs of between $475 and $575 per ounce of gold produced. With each quarter that passes, operational execution and the development of our growth projects is bringing us closer to our objective of achieving over 100,000 tons of copper production by 2025, and sustained annual gold production of between 55,000 and 60,000 ounces beginning in 2024. With that, I will now pass the call to Makko to discuss the highlights around our year-to-date project execution, after which Wayne will discuss our financial results for the quarter.
Makko DeFilippo: Thank you, David and good morning, everyone. As David mentioned, we've made strong progress on the execution of our growth projects since the beginning of the year and are extremely well positioned to continue to execute. At our Tucuma project, we concluded critical path of earthworks around our process plant infrastructure and poured first concrete in February on schedule. Overall, civil works are progressing well, and we expect completion of the primary crusher foundation later this month and the foundation for the Ball Mill to be completed in June. Electromechanical erection for both areas is scheduled to commence in July. I am pleased to report that equipment deliveries also commenced this quarter, most notably with the arrival of our Ball Mill on site. On the mining side, pre-stripping activities remain firmly ahead of schedule with approximately 20% of total prestrip volume completed as of quarter end.  With all major outstanding contracts concluded during the period, capital expenditures under contract increased from 55% at year-end to approximately 85% at the end of March. With an additional 5% of capital expenditures currently in the final stages of negotiation, our overall visibility on total project spend is over 90%. Our capital estimate for project completion remains unchanged at approximately $305 million, which is within 4% of the feasibility study estimates.  With a significant workforce mobilization currently underway at Tucuma, we have ramped up local labor chain programs in partnership with the National Service for industrial training, a well-known nonprofit organization focused on technical and vocational education in Brazil. In part due to the success of this program, approximately 60% of our 700-member workforce currently at the Tucuma project are from the surrounding communities.  Switching gears to our Caraiba operations. We continue to advance surface infrastructure installations for the new external shaft, as can be seen in the photos included in yesterday afternoon's press release. Main activities underway on surface include final civil, erection of steel work for the headgear, Center Tower as well as installations of the stage and personal winders. In parallel, we are making excellent progress on underground infrastructure related to the shaft. Subsequent to quarter end, our shaft sinking contractor, UMS Group, mobilized to site and conducted the first blast of our precinct, an important milestone for the project. Looking ahead, we remain fully on track to complete remaining surface infrastructure installations, conclude the precinct phase and initiate our main sync by year-end. Planned capital expenditures for the new external shaft under contract or in the final stages of negotiation increased from approximately 35% at year-end to over 70% at the end of March. With additional equipment orders expected to be placed this quarter, total visibility on project capital is approaching 75%. Like the Tucuma project, I'm pleased to share that our projected capital spend on the shaft remains within 5% of budget. I will now turn the call to Wayne to discuss our financial results for the quarter.
Wayne Drier: Thank you, Makko. As Dave mentioned earlier, our first quarter financial results reflected solid operating performance, including record quarterly gold production bolstered by a favorable copper and gold price environment. This contributed to a stronger than budgeted liquidity position at quarter end of approximately $387 million, which includes approximately $210 million of cash and cash equivalents, $27 million in short-term investments, and $150 million of undrawn capacity under our senior secured revolving credit facility. The change in our liquidity position compared to year-end of approximately $81 million was driven primarily by elevated capital expenditures related to the execution of our peer-leading organic growth strategy as well as approximately $28 million of working capital changes. We continue to manage our exchange rate exposure through opportunistic hedging of the BRL using zero cost collars. During the first quarter, this resulted in realized and unrealized gains on our foreign exchange derivative contracts of $0.9 million and $3.2 million respectively. While the Real has continued to strengthen into the second quarter, we are hedged on approximately $30 million worth of monthly Real exposure for this quarter -- this upcoming quarter and approximately $15 million per month for the second half of the year at an average floor of around BRL 5.16 at an average cap rate of BRL 6.34 per U.S. dollar. We also remain hedged on approximately 75% of our copper production for the remainder of the year through a zero cost collar hedge program we put in place in January. The hedge contracts provide a floor price of $3.50 per pound on 3,000 tons of copper per month through December 2023, protecting a meaningful portion of our revenues and cash flows during the construction of Tucuma. With that, I'll hand the call back to David to share some final comments.
David Strang: Thank you, Wayne and thanks to everybody who joined the call today. Before we open the call up to Q&A, I'd like to thank our colleagues here in Canada and Brazil who continue to execute on our operating plans while also advancing our organic growth projects. I would also like to congratulate Makko on this expansion in his role from President to President and Chief Operating Officer. I would like to note that Makko has been an integral member of the Executive Team since the founding of the company. And then upon his appointment as President in January 2021, he assumed oversight for the implementation of the company's strategic plan, including day-to-day operations and major projects. I'd also like to thank Anthea for her contributions to the organization and along with the rest of my colleagues on the Executive Team wish her all the best for the future. I will now turn the call back to the operator to open the line for questions.
Operator: Thank you. [Operator Instructions]. The first question comes from Gordon Lawson with Paradigm Capital. Please go ahead. 
Gordon Lawson: Hi, good morning everyone. Congratulations on another great quarter. Can you please elaborate on the Honeypot deposit in terms of some of the challenges and respective operating costs associated with mining in this area?
David Strang: That's a good question and it's going to take a long answer. But essentially, Honeypot is not a new deposit, it's part of the original upper levels of the ore body that had been left behind early in the mine's life when they went underground, and there was, at that time, trying to use back in the 1980s. So Honeypot is an understood -- well understood area and is just being integrated into our plan with respect to how -- into our operating plan. Issues that we deal with, with regards to Honeypot is there's a lot of development drives that have been done back in the 1980s that need to be rehabilitated. And so as we continue to work, we have taken in all of our assumptions and our capital and operating costs have all assumed that we have to -- in terms of rehabilitate those drives, assume that those drives essentially have to be redrilled, re-mined. So we've taken a very conservative approach with regards to Honeypot. The initial responses in terms of operating at Honeypot have been great in terms of grade. And we continue to look forward to integrating it and continuing to integrate it over the next four to five years as we get deeper into it. And as we start to also find new areas associated with it and included in our mine plan in the next time period.
Gordon Lawson: That's fantastic, thank you. In terms of the excess mill capacity at Xavantina, it was reported at around 45% in the year 2022. Are there any plans to boost mining rates or does this set up allow you minimal schedule maintenance?
David Strang: Sorry, Gordon, you went very muffled there. So we are struggling to hear you. Could you just repeat that again?
Gordon Lawson: Sure. So in terms of the excess mill capacity in Xavantina, it was last reported at around 45%. So are there plans to boost the mining rates or do you prefer this set up to help minimize scheduled maintenance downtime?
David Strang: Our operating plans and if you look at our life of mine plan and coincidentally, the new technical report for Xavantina is being released over the next couple of days. You will see that our plans do include increased production that would take the capacity of the mill up from its current 55% of utilization up to 75%. So we will have some areas of excess capacity. As we look down the road, we really feel that taking that plant from the 75% capacity to 100% is really involving some of the new exploration work we're doing on some lateral projects that we're working on. We hope to be able to talk to the marketplace later in the year with regards to the work that we're doing there. And hopefully, at that particular time, it starts to show a road map towards how we can move to full utilization of the mill.
Gordon Lawson: Okay, fantastic. Thanks very much. Appreciate it. 
Operator: The next question comes from Stefan Ioannou with Cormark Securities. Please go ahead. 
Stefan Ioannou: Okay, thanks very much guys. Again, great to see the quarter. Just curious on the exploration front, could you maybe just give us an update on where things are at Caraiba and specifically with regards to nickel?
David Strang: Thanks, Stefan. Things continue to progress well on nickel. I think as a team, we'd like to try and give the marketplace an update over the course of the next couple of months, with the work that we're doing in the Umberana [ph] district, along with some preliminary metallurgical test work results. But I think a more fundamental or more comprehensive update of exactly what we're working with here will be later in the year. We are looking at timing that sometime in October. And so we ask for patience and bearing with us. What we are working on is in our minds quite significant. We want to get it right for our shareholders in terms of the work here. But yes, I think by the fourth quarter of this, I think we'll be in a position to really have a comprehensive discussion with investors and shareholders to exactly what we are starting to uncover with respect to nickel and the unfolding of a nickel district at Caraiba.
Stefan Ioannou: Okay, great. That is very helpful. Thanks guys. 
Operator: The next question comes from Orest Wowkodaw with Scotiabank. Please go ahead. 
Orest Wowkodaw: Hi, good morning. On the Tucuma project, it looks like you've got a pretty good handle on the CAPEX. Where do you see the biggest risk going forward to completing this on time and on budget at this point?
Makko DeFilippo: Yes. Thanks, Orest. Look, great question, as you said, a high degree of confidence in the capital numbers where we're seeing them. I think from the operational perspective that we have now, especially with equipment starting to arrive on site, and the conclusion of the rainy season, everything right now remains on track. Obviously, in the Carajas, we're -- where a lot stock that next year's rainy season is a critical path for us. So getting ahead on civils and electromechanical erection, which are all well underway. But we currently have strong visibility on the schedule and the CAPEX and everything is progressing according to plan.
Orest Wowkodaw: Does that -- the CAPEX that you've got the visibility on, does that still depend on productivity, I realize like you've got a fixed price mining equipment. But do you ultimately still have to succeed in terms of meeting the productivity goals that are embedded in that?
Makko DeFilippo: Yes, for sure. I mean if you look at the schedule that we've built out and some of the work that we've done to make sure that we're in a great position to execute on the schedule we've outlined. As we've looked at several projects throughout Brazil and in fact, over the world, and we've indexed our productivity factors based on relevant peers in the region to account for the rainy season. So when you look at our scheduling and loading factors and our construction schedule, they're in line with what's been achieved in projects in the region. And I think that's an important benchmark for us. We went through as with all projects in our portfolio, a series of independent peer reviews, and we're confident that the loading factors that are assumed are in line with the industry. Obviously, achieving the $305 million and the overall project schedule are both tied to achieving those productivity rates.
Orest Wowkodaw: Thanks very much Makko. Good luck.
Operator: [Operator Instructions]. The next question comes from Alexandra Symoni [ph] with William Blair.
Unidentified Analyst: Hi, thanks for taking my question. Can you please elaborate a bit on the lower grade in Caraiba, was it due to regular maintenance, perhaps Pilar 3 or an incident occurred during the quarter?
David Strang: No. Thanks for the question. The Caraiba -- the Pilar in particular mine is not a homogeneous ore body. It's quite heterogeneous. And as such, we're always trying to do our best to select stopes and areas to mine that we try and have a smooth grade as possible over an annualized basis. But our history in terms of working here over the last six years tells us that we do have quarters where grade is lower than other quarters. It's just the nature of the ore bodies and the stopes that we are able to mine. I certainly try and put a lot of pressure on the team to try and smooth that out. But unfortunately, we don't have it on a smooth basis. So the first quarter was lower grade due to the stope selections that we had within the mine plan. I can tell you right now, on the dailies that our grades are significantly higher right now due to the fact that we have now accessed another stope in another part of the mine that is significantly higher grade. It's just the rhythm of how the mine works, unfortunately.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to David Strang for any closing remarks.
David Strang: Thank you, operator, and thanks to everybody again for attending our first quarter results. We look forward to presenting to you again our second quarter results. But during the quarter, we will be excited to share some of you will be sharing time with us on our visit to the operations, and we look forward to seeing a lot of you in person. So with that, thank you operator, and thanks again everybody for attending. Bye-bye.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.